Niki Wallroth: Hello, and thank you for joining us for Expensify's Q4 and Full Year 2025 Earnings Call. I'm going to start off with the legal disclosure, and then I'll be handing over to Ryan Schaffer, our CFO; and David Barrett, our Founder and CEO. Please note that all the information presented on today's call is unaudited. And during the course of this call, management may make forward-looking statements within the meaning of the federal securities laws. These statements are based on management's current expectations and beliefs and involve risks and uncertainties that could cause actual results to differ materially from those described in these forward-looking statements. Forward-looking statements in the earnings release that we issued today, along with the comments on this call, are made only as of today and will not be updated as actual events unfold. Please refer to today's press release and our filings with the SEC for a detailed discussion of the risks that could cause actual results to differ materially from those expressed or implied in any forward-looking statements made today. Please also note that on today's call, management will refer to certain non-GAAP financial measures. While we believe these non-GAAP financial measures provide useful information for investors, the presentation of this information is not intended to be considered in isolation or as a substitute for the financial information presented in accordance with GAAP. Please refer to today's press release or the investor presentation for a reconciliation of these non-GAAP financial measures to their most comparable GAAP measures. And with that, I'll hand it over to Ryan Schaffer.
Ryan Schaffer: Thank you, Niki, and thank you all for joining today's call. It was an exciting year for Expensify. We were the title sponsor of Apple's F1 movie. We generated nearly $20 million in free cash flow. We started incorporating more and more AI into the user experience and we made substantial progress on the migration to our new Expensify platform. Now let's dive into the Q4 financials. Revenue was $35.2 million. Average paid members were 650,000 and total interchange was $5.5 million. Our Q4 operating cash flow was $2.2 million. Our Q4 free cash flow was $3.2 million and net loss was $7.1 million. Our Q4 non-GAAP net loss was $2.1 million and adjusted EBITDA was $3.3 million. Now let's move on to fiscal year 2025. In fiscal year '25, revenue was $142.1 million, average paid members was 650,000 and total interchange was $21.3 million. Fiscal year '25 operating cash flow was $20.1 million. Free cash flow was $19.9 million and net loss was $21.4 million. That net loss was primarily driven by stock-based comp and expenses related to the F1 movie. Our full year 2025 non-GAAP net income was $5.2 million and adjusted EBITDA was $16.9 million. Now let's talk about free cash flow guidance for 2026. Our fiscal year '25 free cash flow was $19.9 million, coming in at the high end of our initial guidance of $16 million to $20 million for 2025. We are initiating fiscal year 2026 free cash flow guidance of $6 million to $9 million. That's lower than previous years due to a conservative outlook on 2026, combined with the fact that we are expecting to increase investment in sales and marketing as well as AI this year. We will continue to keep you updated on our free cash flow guidance as it evolves throughout the year. As always, here's our Q1 flash numbers for our paid members in January. We saw 626,000 paid members in the first month of Q1. We typically see a lot of seasonality in January and it is generally down compared to December, and then we usually see members increase in future months. Now turning to some business highlights for fiscal year 2025. We entered a multiyear integration partnership with Uber for Business to automate travel and meal receipts, strengthening policy controls across corporate travel and expense workflows. This partnership reinforces the power of our platform and deepens our integration into customers' day-to-day spend processes. We were also recognized with the TrustRadius 2026 Buyers' Choice Award in the expense management category, which is based directly on customer reviews, highlighting our capabilities, value for price and customer relationships. We think it's encouraging to receive that third-party validation based off of reviews from our users. Expensify travel continues to be an area of growth in the business. Bookings in Q4 are up 434%, compared to Q4 of 2024. The sustained growth reflects strong customer adoption and continued momentum around our travel offering. The Expensify Card is another bright spot in the business. Interchange increased 24% in fiscal year 2025, compared to the prior year. And finally, we repurchased over 4.8 million shares of our Class A common stock throughout 2025, totaling approximately $9 million, reflecting management's continued confidence in the long-term opportunity of the business. And now I'll hand it over to David for a product update.
David Barrett: Thanks, Ryan. So it's been a really exciting quarter on the product side, and I want to walk through a few things, where we are in migration, some new stuff we're going around cards and growth and then our AI story, which I think is getting really, really interesting. So as you know, a key element of our business strategy is to get existing customers over to new Expensify. And I'm happy to say we're basically there. New Expensify now has full feature parity with Classic for customers representing 90% of our revenue. That's the target we've been working towards, and we've hit it. Classic isn't going away. We're keeping it around for customers who need it or prefer it. But the big news is new Expensify is feature complete for essentially everyone. We've now rolled it out to 63% of Classic customers. The way we do this is what we call nudging. We move customers over in cohorts. They can always switch back to Classic if they want, and the vast majority simply stay. They choose to stay on new, and that's really the signal. Nobody is making them. They just like it better. Right now, we're focused on performance and polish while we work through the best. And we're beginning the migration of our approved accounting network, which is a big deal. These are the accountants managing the books for a huge chunk of our customer base. We built much more powerful native reporting and charging for them and I'm particularly excited about what we're calling our virtual CFO insights. It gives accountants a whole new level of visibility into the clients' financials that just didn't exist before. So one thing I want to highlight that I think is underappreciated. Most of the market still uses traditional bank cards. We're talking more than 55% of businesses according to recent NBER research. Every accountant out there has clients, who want to keep their existing card and the reality, we support all of them. Expensify connects to over 10,000 global banks and over 80% of those card imports happen via direct bank connections at 0 marginal cost to us. So we're not just the best product for the Expensify Card. We believe we're the best product for whatever card you already have. And now we're layering real spend management tools on top of that. Merchant-based rules can be fine grades coding control. So you can say every time someone swipes this merchant, apply these categories, these tags, this client, it just happens automatically. And integrated online reconciliation means you're not doing exports anymore. It's all right there. This is a really compelling story for accountants, especially because our clients aren't all going to switch cards and now we're the best answer regardless. And here's something I'm really excited about. As migration completes, we're turning our attention back to what's always been Expensify's core strengths, product-led growth. Here's the thing. Over half of our sign-ups have never been team leaders. Most of our customers were introduced to Expensify by an employee, not a boss. That's always been our superpower. Employees discover us, fall in love with us and then the company follows, bottom-up lead gen to a top-down sale. New Expensify is architected exactly like a social network, a single unpartitioned name space with any-to-any connectivity, and that architecture is what makes this possible. An employee can sign up before their boss even knows what Expensify is, and that creates a really interesting dynamic. So we're launching a new submit plan. It's free for all members, and the idea is to get free expense and chat into the hands of employees the millions of businesses that signed up over the past 15 years. We expect this will create grassroots collective pressure to adopt company-wide. It's the Expensify challenge, download the app, submit to your boss and see what happens. We've always done this, but New Expensify lets us do it at a totally different scale. Okay. And now the AI side, which I think where things get really, really interesting. Everybody is talking about AI right now. So I want to be specific about what makes ours different because I genuinely think it is. We call it accountable intelligence. And the reason for that framing is that Concierge isn't just AI that does things. It's AI that can explain what it did, correct itself when wrong and keep working in the background while you sleep. There's a line in the slide that I think really says it well. If your AI can't talk, can't explain what it did, can't learn from its mistakes and sleeps when you do, how intelligent is it really? So there are 3 things I want to highlight. First, Concierge is contextual. Our whole thesis has been that chat is the UI of AI. It only works if the AI is built into the product, not stuff on top of it. You know the clipy analogy, something clearly designed separately, and that's kind of bolted on. That's not what this is. With Concierge, wherever you are in the product, inside expense report, looking at a card swipe, hitting an error message, the AI is right there. You just ask what the thing you're already looking at, no copy paste, no uploading, no explaining a situation from scratch. Second, Concierge is correctable. This is the one that I think people underestimate. Automation is great until something goes wrong and you have no idea why or how to fix it. Concierge self-diagnoses and self-corrects. You can ask it why it did something. It will tell you, and then you can just tell to do something differently, that's done. No guesswork. That's a different relationship with automation than anything that exists today. And third, Concierge is continuous. It's not sitting around waiting for you to ask at something. It's working in the background, reviewing the books, analyzing trends, monitoring system health and proactively flagging and fixing issues before they become real problems. That's what accountable means. It's not just smart, it's responsible. So zooming out, I think the story of 2025 is that we lean into our strengths and it's showing up. Cross-selling is working. Card interchange grew 24% year-over-year to $21.3 million. Travel bookings grew over 400% from Q4 of last year to Q4 of this year. We generated nearly $20 million in free cash flow and repurchased over $9 million in shares. These are the numbers of the business that's executing. Finally, the AI-first design is stronger than ever. Chat is the UI of AI. Our chat-first design makes us AI first by definition, and Concierge is the accountable AI that knows what you're talking about, can fix itself and wrong and works while you sleep. There's a lot more to come in all this. Happy to take your questions.
Niki Wallroth: Great. Aaron, I think I see you on the line. Do you want to start us off?
Aaron Kimson: Awesome. So my first question for you, Dave, is application software multiples have obviously been getting hammered in public markets recently, while investors think through terminal value questions with the zeitgeist being barriers to product development are significantly lower due to advances at the frontier labs, horizontal apps focusing on driving efficiencies and workflows performed by humans today that people think will be performed by agents in the future like Expensify have been hit particularly hard. So the most important questions on investors' minds right now, I think, are what's Expensify's place in an AI world where you can buy code to semifunctional expense management app. I know you just talked about Concierge and the differentiation there. And then what are the primary moats that you see for the business?
David Barrett: Yes. Great questions. So I think fundamentally, vibe coding sort of the ability to generate app is going to wipe out huge classes of applications. But I think those applications are anything that falls in the category of you upload your own data, something analyzes it and then gives it back to you. And that basically operates in kind of a small dish where I think anyone who's just organizing their own receipts, for example, I agree. I think that AI is a real challenge for that industry. However, that's really not our industry. AI is not particularly good in places, where it's highly collaborative, where, for example, you're actually sharing data with other people. I'm not going to say it's not possible. I'm just saying it's just not really possible with the tools right now. Like with ChatGPT, with Claude, with Gemini, it's actually very hard to use the AI with someone else in the process. again, everything is doable, everything is changing. But right now, kind of where we're at, collaboration is one of the key differentiations that makes sort of Expensify, one of the most because it's not just a tool to work with other people, Expensify is a tool for collaborating with other AIs as well. That's one. I would say second, AI can only really automate what you can personally do. And so reading your own receipts, things like this, sure, AI is good at that. But AI can't like just issue a virtual card. Like you don't have that ability. You can't actually just directly transfer money through the ACH network. You have to go through some kind of a gatekeeper, the gatekeeper could be your bank or it's us. But more importantly, it's not the AI itself. AI can only do what you can do, but you are not allowed to access the same kind of networks that we are. So one, I think there's basically anything collaborative is where I think applications still have a lot of strength. Two, anything that accesses kind of like regulated financial networks is another place where we have strength. And so I think there's actually a variety of moats that still protect applications like Expensify because AI doesn't make you PCI compliant. AI doesn't make you have anti-money laundering sort of compliance and sort of routine. And so I think there's still a tremendous amount of opportunity for working with the agents and not doing them so much as competitors, but the opportunity for new customers. Eventually, you are going to want your agents to be making purchases for you. And you just -- but you don't trust the agents. I mean we see all these stories about how an AI just like wiped out the inbox of the top AI person in Meta or whatever it is. AI aren't quite fully trustworthy yet. And so I think that before you give them control of your credit card, you're going to want to have spend controls in those AIs just like you want to have spend controls on your employees. And so I think the way that we see AIs and agents in the future is those are actually opportunities for more seats in the platform. Every time you automate away an existing seat with an agent, that kind of creates another seat that needs controls as well. So I'm not going to lie, it is a very tumultuous world. I think that there's a lot of ways that things can go wrong. But there's also a lot of ways things can go incredibly right. And so I think we've made a point starting years ago, recognizing there's this huge AI disruption on the way. And we invested for 5 years to build a platform that we think isn't merely designed to kind of survive this AI title wave, but really ride it and thrive in it. And so I'm actually way more excited about the opportunity that AI creates for a company like Expensify than the risks.
Aaron Kimson: Got it. That's really thoughtful. It's good to hear a technologist opinion when you hear the constant loop of investors all day from my seat. And then the second question I have is this was the first quarter that paid members have increased since 4Q '24. One of the tricky things on Expensify is always trying to figure out what's macro and what's idiosyncratic, especially with the migration to a new version of the product and competition with a lot of well-funded competitors. So my question here is, what do you attribute that small increase in paid members to -- in 4Q '25? Do you think it's a result of the migration and people seeing success with people enjoying the new product or just macro?
Ryan Schaffer: I can take that one. So Q4 -- I mean, there's some seasonality, right? Q4 is generally pretty strong in the same way that January is usually not. So I think that, that is just kind of consistent with what we've seen in terms of Q4 generally performs better than Q3. So I think it's primarily seasonal. However, I would say that it's expected because we typically see seasonality. However, I think migration obviously helps us retain customers. And obviously, it's something that we're -- as we deploy this in 2026 for the rest of our customers, we're going to be watching this really closely, and we think that it's going to help user growth in general.
Niki Wallroth: All right. Well, I just heard back and our other analysts are going to meet us in the call back. So we are good to go.
David Barrett: All right, thanks. We appreciate it. Thanks, everyone.
Ryan Schaffer: Thank you all. Have a good one.